Operator: Greetings, ladies and gentlemen, and welcome to the Hooker Furniture Quarterly Investor Conference Call reporting its Operating Results for the Second Quarter. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference call is being recorded. It is now my pleasure to introduce your host, Paul Huckfeldt, Vice President, Finance and Chief Financial Officer for Hooker Furniture Corporation.
Paul Huckfeldt: Thank you, Michelle. Good morning, and welcome to our quarterly call to review financial results for our fiscal 2020 second quarter, which ended on August 4, 2019. We appreciate your participation today. Paul Toms, our Chairman and CEO; and Doug Townsend, Co-President of our Home Meridian division, will join me for our prepared remarks. For the question-and-answer portion of the call, several of our business units heads will be available to take questions, including Michael Delgatti, President of Hooker Domestic Upholstery and Emerging Channels; Home Meridian Co-President, Lee Boone; Jeremy Hoff, President of our Hooker Branded segment; and Anne Jacobson, our Chief Administrative Officer. During our call, we may make forward-looking statements, which are subject to risks and uncertainties. A discussion of factors that could cause our actual results to differ materially from management's expectations is contained in our press release and SEC filing announcing our fiscal 2020 second quarter results. Any forward-looking statement speaks only as of today, we undertake no obligation to update, revise any forward-looking statement to reflect events or circumstances after today's call. This morning, we reported consolidated net sales of $152 million and net income of $4.2 million or $0.35 per diluted share for our fiscal 2020 second quarter, which ended August 4, 2019. Compared to last year's second quarter, our net sales decreased $16.4 million or 9.7%, and net income decreased $4.5 million or 52%. Earnings per diluted share decreased 52% from $0.74 a year ago. For the fiscal 2020 first half, consolidated net sales were $288 million, with net income of $6.1 million or $0.52 per diluted share. Net sales were down 7.6% or $23.8 million, compared to last year's first half. Earnings per diluted share decreased to $0.52 from $1.34 last year, a 61% decline from the prior year first half. Paul Toms will now comment on our fiscal 2020 second quarter results.
Paul Toms: Thanks, Paul, and good morning, everyone. As we expected after our first quarter, business in the second quarter was significantly impacted by tariffs on finished goods and component parts imported from China, as well as weak retail demand through the first eight months of this year. In addition, lingering effects of several cost-related issues that began late last year at Home Meridian deflated our performance in the quarter. We believe the macroeconomic challenges related to the tariffs and soft retail conditions are affecting many companies in the furniture industry. Looking across our industry, many public furniture companies are reporting weaker sales and reduced earnings. Business disruptions from the 10% tariff imposed last September and the additional 15% tariff imposed June 15 this year have impacted both our top and bottom line. Revenues have been negatively affected by tariff rhetoric and turbulence in the marketplace and by tariff-related price increases. These tariff dynamics have reduced retailer and consumer demand. Profitability has been negatively impacted by higher costs, which have also lowered margins. Despite all the headwinds, I believe we're doing incredible job, executing various measures to mitigate the impact of the tariff on our business going forward. These include negotiating vendor price concessions, passing through modest price increases to our retail customers, the first of which was put in place last fall and the most recent one in mid-June. And most importantly, we're well on schedule in shifting production away from China. While slightly over 40% of our product line was imported from China at the end of our most recent fiscal year, we expect about 22% of our products will be produced in China by the end of this fiscal year. The lower year-over-year sales trend that began in the first quarter continued in the second quarter. Home Meridian's 14% or $13.8 million sales decline had the most impact on lower consolidated sales, while sales in the Hooker Branded segment and All Other decreased modestly by $1.1 million or 2.8% at Hooker Branded and $1.4 million or 5.3% at All Other compared to the prior year's second quarter. Home Meridian revenues were hit harder by tariff disruptions because the company's base of larger retailers went into the year over inventoried and delayed reorders until late in the second quarter. As we approach the end of the quarter in July, retailers appear to complete their inventory rebalancing and we began to see retail demand improve at HMI. HMI divisions, Pulaski, Samuel Lawrence Furniture, and Samuel Lawrence Hospitality, all finished the quarter with double-digit increases in their backlogs. The incoming order picture also brightened in July on a consolidated basis. Corporate-wide incoming orders are trending positively compared to both last quarter and the year ago period. Since July, large retailers have been asking us to expedite orders, so they can stock up for the upcoming fall selling season, which is traditionally the strongest of the year for furniture sales. Backlogs are also improving with six of our 11 business units reporting higher backlogs than a year ago. While the sales trend was a bit weaker in the second quarter compared to the first, net income doubled primarily because of better performance at HMI. HMI operating results improved to nearly breakeven, compared to the $5 million operating loss in Q1. Income at Home Meridian was, nonetheless, subdued from a lower top line, tariff-related margin deterioration, inflated warehousing costs from increased inventories, and other operational disruptions and resourcing costs caused by the tariffs. Taking a closer look at each of our segments, I'll begin with Hooker Branded. Net sales for the Hooker Branded segment decreased $1.1 million or 2.8% in the fiscal 2020 second quarter, driven by a low-single-digit sales decrease in the Hooker Casegoods division, partially offset by net revenue growth in the mid-to-upper single digits at Hooker Upholstery. Hooker Upholstery continues to benefit from an expanded product offering and higher average prices for more sofa and sectional sales in its product mix. Momentum at Hooker Upholstery is also strong with incoming orders, up over 20% in the second quarter. At Hooker Casegoods, we passed on some tariff-related price increases. In general, casegoods are a high-ticket discretionary purchase. In an environment where retail sales are already weak and you layer in the tariff dynamics, it just gives another reason for the consumer to postpone the purchase. Despite the sales decline and increased product costs, Hooker Branded was still highly profitable with over 30% gross profit margin and 10% operating income margin during the quarter and for the first half. Whilst we stock approximately six months of casegoods inventory in our Virginia warehouses, the impact of tariffs was felt much more on the demand side than in margins in the second quarter, although margins were not entirely unaffected and we recorded about $500,000 of increased LIFO expense in the quarter. All Other, includes domestically-produced upholstery divisions Bradington-Young, Shenandoah, and Sam Moore, along with H Contract, reported a net sales decrease of $1.4 million or 5.3% from $27.1 million in last year's second quarter to $25.7 million in the fiscal 2020 second quarter. Lower sales were driven by a sales decline in our upholstery manufacturing divisions due to lower demand, partially offset by continued growth at H Contract, which specializes in furnishings for senior living and retirement facilities. Targeted sales efforts, product line extensions, innovations, and mid-year product introductions have paid dividends in this segment with three of the four divisions reporting double-digit order increases in July. Under a new division president, Sam Moore is starting to grow again with incoming orders up nearly 16% in July and backlogs up 2.5% compared to the prior year second quarter end. Despite a sales increase -- I'm sorry, despite a sales decrease, All Other gross profit increased in absolute terms and as a percentage of net sales due to lower materials costs and better cost containment. This segment reported operating income margins of 6.8% for the fiscal second quarter and 8.3% for the first half. Now, I'd like to call on Doug Townsend, our HMI Co-President, to give more detail on the HMI segment performance this quarter.
Doug Townsend: Thanks, Paul. HMI sales in Q2 were $87.2 million, down $13.8 million or 14% versus last year. Continued softness at retail across all residential channels of distribution, compounded by ongoing industry disruptions resulting from the China tariffs, were the primary causes of the sales decreases. The retail softness negatively impacted four of our five business units, with sales down across all traditional furniture retail segments. SLH, our hospitality business unit, reported strong sales growth in the second quarter with sales up 44% in the quarter as new sales initiatives and new customers increased demand in that segment. For the quarter, consolidated incoming order for flat versus the prior year and backlog at the end of Q2 was down 9.7%. Both the order and backlog trends have improved significantly from Q1. Q2 operating results improved to breakeven, also a substantial improvement from the loss reported in Q1. Second quarter income performance, while a step in the right direction was nonetheless reduced by lower top line sales, continued tariff-related product costs, continued warehousing-related expenses from our Q4 product return, and other operational disruptions caused by the tariffs. Major initiatives to improve results are well underway and can be summarized as follows. Firstly, our China exit strategy. Our strategy to avoid tariffs on imports from China, as well as reduce the uncertainty resulting from our country's current trade relationship with China is to resource production away from China as much as feasible. Prior to the tariffs, approximately 44% of HMI products were manufactured in China. As of August, approximately 29% of our production remains in China and that number will continue to come down. Our progress resourcing upholstery production for our PRI division has made even more dramatic progress than that. Prior to the tariffs, 100% of PRI production was manufactured in China, and as of August that percentage has decreased to less than 36%. We would like to move faster, but additional production capacity in Vietnam and other countries is coming online slowly. Given our longstanding history and deep business relationships in Vietnam, HMI is well positioned to secure new production capacities as they become available. Our second strategy is our PRI turnaround. As mentioned, PRI is making good progress moving production out of China, which is the most critical factor in providing competitive products and then returning PRI to target profitability. In addition, we are implementing select price increases where necessary and eliminating some unprofitable business. The combination of these efforts is delivering results. PRI performance improved from net contribution loss in Q1 to positive contribution in Q2. Further, we are on track to continue increasing the PRI net contribution as you move forward resourcing. On the growth front, new sales initiatives are in process to grow the PRI topline through our clubs channel, our mass channel and our traditional mega accounts. A portion of the new growth efforts are in better products, targeted to premium retailers who can effectively sell higher prices, which normally carry enhanced profitability. The majority of this new merchandise is part of an exciting new brand launch at the October market that will create significant incremental growth and profit opportunities. As made public last week, Home Meridian has signed a contract with Terry Bradshaw to endorse and promote an exclusive line of PRI motion upholstery to the retail trade and the consumer. Given Terry's enormous popularity across all ages and demographics, particularly in the entertainment and sports entertainment markets, we believe he is the perfect fit for the target motion upholstery customer. Already we've had multiple major retailers commit to carry the brand, we expect the Terry Bradshaw branded products to begin shipping in late Q4. Another initiative is our clubs -- is reorganizing our clubs business. We are restructuring our clubs businesses -- business organization to enhance control, ensure performance and deliver the bottom line results we expect from that channel. Our clubs business will now operate with a dedicated P&L structure, and more importantly will consolidate and report to a single executive leader. Jay Jordan, who was hired in May to direct our entry into the mass channel, will assume responsibility for leading our clubs business. Jay has proven experience in the Clubs channel as well as with big-box stores and he's a natural fit for this role. We have already identified and are implementing multiple operational improvements to our clubs business procedures. Furthermore, we are focusing our clubs merchandising efforts on specific proven product opportunities that are established sellers and fit our core competences. Other growth strategies. In addition to growth in clubs and branded sales, we have growth strategies in other parts of our business as well. Although, our traditional mega accounts have experienced slow retail conditions all year, we have nonetheless exceeded in developing and selling multiple new product placements within the traditional mega account channel that we expect to generate over $50 million in new product sales on an annualized basis. While not all of that business is incremental, it still is a healthy indicator of our strength within that segment. In addition, we are focusing our fast-growing e-commerce business with year-to-date sales up 16% on the best retailers in the channel. This focus will enable us to grow faster with the biggest players and will result in better business partnerships, faster growth and more profitable sales within the channel. Last quarter, we announced the launch of a new division to focus on the mass retail channel. This division, named HM Idea, has developed approximately 40 RTA Casegood SKUs planned for introduction at the October Furniture Market. The RTA category is new for HMI and represent significant incremental growth opportunity for our company. Another new product category we introduced last year, performance laminate dining and bedroom collection are at retail stores now and selling very well. We will continue to invest in new products and customers in this product segment. Finally; mix product container shipments from a consolidated warehouse in Vietnam is a new service model that we just introduced earlier this year. This service is particularly attractive to the midsize accounts in major retailers who prefer to buy smaller lot sizes and product via direct container. This service enables those retailers to enjoy direct container values, while managing their inventories more precisely. Another ongoing initiative is margin improvements. We have multiple margin improvement initiatives in process to improve our bottomline. These initiatives include the aforementioned production resourcing efforts away from China, as well as resourcing to lower cost suppliers. In several cases, we are resourcing Vietnam-based production to other lower cost Vietnam factories to improve margins. We are also increasing our sourcing base in Malaysia, as that country continues to develop and offer strong values relative to China and Vietnam. We are also selectively raising prices to counter various recent cost increases, such as higher production costs in Vietnam, freight and freight-associated expenses and higher government directed compliance issues. Finally, we have a comprehensive cost-reduction exercise underway to reduce overhead inventory and spending, commensurate with the challenging business climate. Specifically, we're reducing 8% of our headcount through attrition and hiring freeze. We have already begun reassigning staff to cover responsibilities of current and pending vacant positions. The largest portion of our staff reductions will occur in China as we exit that country in favor of tariff-free production in Vietnam and Malaysia. Our largest spend on an annual basis is for the inventory to service our business. Our inventories have increased recently, some of which is intentional to service our growing e-commerce business and some as a result of lower sales. We are targeting a 14% reduction of inventory by Q1 of next year, which will allow us to eliminate warehouse space and free up cash. These reductions will come from a new, more accurate forecasting process, the reduction of certain customer-based inventory programs and selling off excess inventory. Additional targeted spending reductions are occurring across all cost centers, including; showrooms, photography, printing, travel, operations and product distribution. Looking forward, we expect significant improvement in our operating results as our remediation action gain traction. Ending on a positive note, consolidated orders have recently improved as retailers begin to place orders for the fall selling season. As of the end of August, HMI orders were up 6.4% versus the prior year and backlog has increased within 3% of last year, both trends reflect continued improvement over Q1 and Q2. At this time, I'd like to turn the call back over to Paul Huckfeldt, who will elaborate further on our quarterly results. 
Paul Huckfeldt: Thank you, Doug. Consolidated average selling prices increased 4%, mostly due to favorable product and customer mix, but that was not sufficient to offset the unit volume decrease of 13.6%, which resulted from lower order volumes in both of our reporting segments and All Other. Unit volumes were down high single digits to low double digits across our segments. Consolidated gross profit decreased $6.8 million to $28.8 million in the fiscal 2020 second quarter and decreased from 21.1% to 18.9% as a percentage of net sales. Hooker Branded gross profit decreased both in absolute terms and as a percentage of net sales due to lower Hooker Casegoods sales and to a lesser extent increased product costs, partially offset by increased sales and higher gross margin in our Hooker Upholstery division, which is benefiting from the well placed product introductions last year and has made good progress mitigating the impact of tariffs. In the Home Meridian segment, gross profit declined significantly in absolute terms and as a percentage of net sales. Home Meridian's gross margin was negatively impacted by several factors in addition to un-recovered tariff and freight costs and some lower gross – and some lower margin sales programs that we've been working to improve. Some of those items included about $900,000 in quality chargebacks, excess freight and handling costs of about $950,000 and about $350,000 of higher warehouse costs during the quarter. Despite the sales decline, gross margin increased in absolute terms and as a percentage of net sales in All Other, due primarily to lower material costs in our domestic upholstery units as well as increased sales and profitability in our H Contracts. These gains were partially offset by higher direct labor and overhead costs as a percent of sales attributable to the lower production and order volumes. Consolidated selling and administrative expenses decreased in absolute terms, but increased as a percentage of sales due to the lower net sales days in the quarter. Selling expenses were lower due to lower sales volume in the quarter, and we also recognized a previously deferred gain of about $275,000 related to the sale of a former distribution center, which partially offset the absence of $1 million gain on company-owned life insurance that we recorded last year. For these reasons, operating income for the fiscal 2020 second quarter decreased $6 million to $5.8 million. Operating income decreased – operating margin decreased from 7% to 3.8%. Our cash balance increased nearly $2 million from the fiscal 2019 year-end to $13.3 million. So far this year, we've generated $11 million in cash from our operating activities, much of it from the collection of accounts receivable and $1.4 million in proceeds from the sale of a former distribution facility, which we had owner-financed. I should also note that we adopted ASC 842 lease accounting at the beginning of the year. This new standard put about $43 million of new assets and a similar liability on our balance sheet and affect some of the comparisons to last year's balance sheet. At the end of the fiscal 2020 second quarter, we had access to almost $28 million on our revolving line of credit and almost -- and about $25 million of cash surrender value of our company-owned life insurance, which gives us some financial flexibility and security. Now I'd like to turn the discussion back to Paul Toms for his closing remarks and outlook. 
Paul Toms: Thanks, Paul. We remain cautiously optimistic about the second half of the year and still expect that retail business and demand will improve to better levels beginning this fall, traditionally the strongest season of the year for furniture sales. Request from some large retailers to expedite orders, so they'll have adequate inventory for the fall selling season have been encouraging. Our tariff mitigation strategies and sourcing shift away from China are well underway and we are reducing costs and nonessential spending, along with delaying some capital expenditures until the environment improves. We expect the benefits of our tariff mitigation strategies and resourcing efforts will begin to be felt in the third quarter and increasingly thereafter. Even with the uncertain economic environment, we're proactively taking many steps to expand our company, including launching new business units and product line extensions. At the Fall Market, we will introduce the product licensing program at PRI division with Terry Bradshaw that Doug mentioned, launch a new HMI division targeting mass merchants and introduce an expanded upholstery offering at Sam Moore. We remain highly engaged as a management team in strategic planning and continue to benefit from having a diverse portfolio of 11 operating units across many different distribution channels, price points and product categories. We remain confident in our business model, our market position and the strategies we have and believe we will adapt successfully to any challenges ahead. This ends the formal part of our discussion. At this time, I'll turn the call back over to our operator Michelle for questions.
Operator: [Operator Instructions] Our first question comes from Anthony Lebiedzinski of Sidoti. Your line is open.
Anthony Lebiedzinski: Hi. Yes. Good morning and thank you for taking the questions. So, first on the Home Meridian, so you mentioned that it was hit harder by the tariff disruptions. I know there was obviously much greater exposure to the large retailer. So, I just wanted to get a better sense as to what percentage of specifically HMI sales come from China as far as for the quarter?
Paul Toms: I don't know that we broke out for this quarter, the amount of …
Anthony Lebiedzinski: Or maybe for last year, like just to get a better sense for just HMI specifically?
Paul Toms: Doug?
Doug Townsend: Yeah. Q3, Q4 was in the 44% range and around -- in this quarter and last couple of months in the 29% range from China.
Anthony Lebiedzinski: Okay. Got it. Got it. Okay. And as far as the excess freight costs, do you have any expectation where that will be in the third quarter?
Paul Huckfeldt: Looks to be about $600,000, that's going to wrap -- I think that's going to wrap that up.
Anthony Lebiedzinski: Got it. Okay. All right. And so obviously, you're moving as scheduled, as planned for your shift away from China. And you said it was going to be about 22% as far as your exposure by the end of the year. Would you expect that number to decrease further next year or would it be kind of more or less kind of stable at that level?
Doug Townsend: It will decrease slightly from there. There will always be some products from China, and even with the tariff rates on them, they'll still be a better value there than other places. But yeah, it will keep decreasing, but slowly from there.
Anthony Lebiedzinski: Got it. Okay. Thank you for that. And as far as your overall penetration as far as exposure to the e-commerce retail, which is certainly one of your bright spots, so what percentage of your consolidated sales are tied to e-commerce channel?
Paul Toms: Anthony, this is Paul Toms. I think that number on a consolidated basis would be about 15% of sales in the channel.
Anthony Lebiedzinski: Got it. Got it. Okay. And you talked about some of -- some new sales initiatives. Obviously, you mentioned the Terry Bradshaw line as well. So, overall, the number of SKUs that you will introduce at the Fall Market, is that going to be kind of more or less consistent with other markets or would you say that number will be higher as far as new product introductions?
Paul Toms: I can -- well, maybe it would be better to address that almost by segment. Jeremy, Hooker Casegoods, and import upholstery, number of product introductions would be comparable to past markets.
Michael Delgatti: Very comparable.
Anthony Lebiedzinski: Okay.
Michael Delgatti: Pretty similar, same number of collections, pretty relative number of SKUs as well.
Paul Toms: Okay. And Mike on domestic upholstery, what's your sense?
Michael Delgatti: Comparable one exception would be Sam orders, less emphasis on chairs, more emphasis on sofas and sectionals.
Anthony Lebiedzinski: Got it. Okay.
Paul Toms: For HMI, Lee?
Lee Boone: This is Lee Boone from Home Meridian. From Home Meridian, the overall SKU count introduction will be about the same and Terry Bradshaw collection will represent about 75 SKUs of motion upholstery and entertainment, accent items within our total count.
Anthony Lebiedzinski: Got it. Okay. And as far as the incoming order improvement that you cited, I think, Doug you had mentioned actually for HMI specifically the August numbers were up 6.4% versus the prior year. Do you have, Paul, perhaps maybe just numbers for the -- on a consolidated basis, would you be able to share that how that's trending in August versus a year ago?
Doug Townsend: For the quarter, consolidated orders were about flat to last year, which is a big improvement over the first quarter.
Anthony Lebiedzinski: Okay. But you don't have specifically for -- do you have for -- because you called out the HMI numbers, which are certainly encouraging the 6.4% improvement in August versus a year ago, but I'd be curious if you have those…
Doug Townsend: Yeah. For July specifically was up 20%, a little bit…
Anthony Lebiedzinski: Yeah.
Paul Toms: For the total company.
Doug Townsend: …for the total company. A little bit some of that in domestic upholstery is the timing of when orders are received, there is a vacation shut down either in June or July.
Anthony Lebiedzinski: Okay.
Doug Townsend: But yeah, they were up 20% just for the month of July. So, either way I think that's encouraging.
Anthony Lebiedzinski: Yes. Okay. All right. Well, thank you very much and best of luck.
Paul Toms: Thanks, Anthony.
Operator: [Operator Instructions] There are no further questions. I'd like to turn the call back over to Paul Toms for any closing remarks.
Paul Toms: All right. We really have no further remarks. We appreciate everybody joining us this morning. We've changed the schedule slightly from prior conference calls, where we try to put our conference call closer to the release of earnings, that was a request we received from several investors, and we'll continue to tweak that. We look forward to being back with you in early December and reporting better results than we did this quarter. Thanks for joining us today.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude the program and you may all disconnect. Everyone, have a great day.